Brian Massey: Thanks, Mel. Welcome, everyone, to our March 2025 quarterly results presentation. For those of you on the call who I'm yet to meet, as Mel said, I'm the General Manager, Corporate Development and Investor Relations at Gold Road. I recently joined, and I look forward to speaking with all of you in the near future if I haven't already. On the presentation today, we'll be referring to the quarterly results slide that can be viewed on the live webcast on our website or the ASX release. Those on the webcast and on the phone are able to submit a question for us, which we'll address at the end of the call. On the call today with me, I have Duncan Gibbs, Managing Director and Chief Executive Officer of Gold Road; John Mullumby, Chief Financial Officer; and Keely Woodward, Joint Company Secretary. With that, I'll now hand you over to Duncan to talk through our quarterly results. Over to you, Duncan.
Duncan Gibbs: Thank you, Brian, and welcome to Gold Road. Moving on to Slide 4 now for an overview before we get into the details of the presentation. Gruyere continues to operate safely, and there were no lost time injuries at Gold Road during the quarter. As previously flagged in the market, production at Gruyere was lower quarter-on-quarter at 71,226 ounces with an all-in sustaining cost of $658 per ounce. Operating cash flow was $107 million and Gold Road's free cash flow for the quarter was $34 million. Cash and equivalents ended the quarter stronger at $204 million. Despite the challenges of the quarter, we do expect Gruyere to recover the lost production over 2025 and full year guidance remains unchanged at 325,000 to 350,000 ounces for the full year. As of market close, our listed investments, obviously dominated by the De Greyd position is around $1.1 billion -- sorry, $1 billion, and that will convert to Northern Star shares, of course, with the approval -- recent approval and completion of the scheme. Earlier this year, we announced the Gilmour pre-feasibility study and Maiden Ore Reserve and more recently outlined an exploration target of the 2025 drill program. We think the study demonstrates substantial value generated by our exploration efforts to date at Yamarna with an NPV of $354 million at a $4,300 gold price, which was where spot was at the time we drafted the announcement. As you're all aware, gold has continued to rally with us strongly with all the gold price of around about $5,220 this morning. During the quarter, we released results of the exploration target at Gruyere and Gruyere joint venture is obviously committed to a very substantial 60,000-meter drill program. We're currently 4 and set to become 5 rigs with that program going at the moment and continuing into 2026. So we were really quite optimistic about delivering significant resource and reserve growth and mine life extensions at Gruyere well beyond the open pit life that currently extends to 2032.Â Now looking at the quarter in a bit more detail. Our total movement, including waste and ore mining increased quarter-on-quarter to record highs with further improvements to the productivity of the mining fleet expected to continue through 2025. Mining head grades decreased quarter-on-quarter to just over 1 gram, which is below the reserve grade and largely reflected restrictive access to high-grade northern portions of the pit, where we've recently completed RC and grade control drill programs and an in-pit diamond drill program. All tonnages for mill for the quarter was down on prior quarters, reflecting the previously announced plant maintenance issues with the primary crusher and the mill conveyors. As well as impacting throughput, the crushing circuit issues resulted in processing lower-than-planned grades from coarse ore stockpiles to the stockpiles created after the primary crusher, and they were substantially depleted during that phase of maintenance. The combination of lower throughput and head grade resulted in gold production of 71,226 ounces, in line with our market update on the 18th of March. Largely a result of the lower gold production, all-in sustaining cost was higher at $2,658 per ounce. Higher capitalized and expense mining costs, of course, reflect the higher mining volumes achieved during the quarter and sustaining CapEx is up quarter-on-quarter with the TSF and dilution expansion both in progress and both are tracking to plan. Issues with the primary crusher are now resolved and actually record crusher throughput was achieved during March as we rebuilt stockpiles. We've made a number of operational improvements around the management of the coarse ore stockpiles during periods of the crusher maintenance. So despite the reduced plant performance in quarter 1, we anticipate these operational changes will enable us to meet the total plant throughput for the year to be achieved, which gets us back in line with the guidance parameters provided in January. So despite the lower quarterly production performance, we expect to maintain guidance within the 25 -- 325,000 to 350,000 ounces on a 100% basis for the year and maintaining the all-in sustaining cost guidance between AUD 2,400 to AUD 2,600 per ounce. I'll now hand over to John to run us through the financial summary.
John Mullumby: Thanks, Duncan, and good morning, everyone. On your screen is a slide here with the chart providing a breakdown of the key elements and drivers of our cash flows for the March quarter. The operating result and performance that Duncan has just walked you through translated into robust gold sales revenue of $156 million and provided Gold Road with $107 million of operating cash flows from Gruyere. Positively, as Gruyere bounced back strongly from the challenges earlier in the quarter, both the revenue and operating cash flows for the month of March alone were 60% of their respective Q1 totals. This is a good proxy of how we expect the operating performance and cash flows from Gruyere to persist and grow throughout the remainder of 2025.Â As you can see on the right-hand side of the screen in the chart, we finished the quarter with $204 million of cash and equivalents on hand, which includes $17 million of unsold dore/bullion that has grown from $9 million from the end of December last year. This cash position also reflects $40 million of sustaining CapEx for the quarter, of which $30 million was capitalized stripping and the payment of a fully franked dividend of $13 million in respect of the year ended 2024.Â When we adjust for the growth in cash equivalents between December and March and this dividend, the free cash flow result was a very healthy $34 million. Lastly, on to our balance sheet, where we continue to strengthen our financial position as we remain debt-free, had close to $1.1 billion liquid assets on hand at the end of the quarter, which includes our cash, cash equivalents and our listed investments. And I'm pleased to say that this trend has continued over the weeks following the end of March. As of today, our investments alone are valued at just over $1 billion. Thanks, and back to you, Duncan.
Duncan Gibbs: Thanks, John. Drilling-- so we've released a number of announcements relating to Gruyere exploration and also Gilmore, which I'll come to shortly. Drilling at Gruyere, of course, is targeting areas that are below the open pit reserve with results reported during the quarter as per this slide. And they're largely in line with our expectations. The conceptual level study evaluating underground mining by sublevel caving, in other words, other methods was completed on behalf of the joint venture by SRK and finally delivered to Gold Road in early -- April. The study underpins decisions to conduct further drilling. On a 50% basis, the exclusive mineral resource or simply the mineral resources less the open pit reserve is 2.2 million ounces. So there's already a lot of ounces sitting outside of the current mine plan that takes us out to 2032. In early April, we provided details of an underground exploration target of 1 million to 1.5 million ounces. And we believe the underground mining has significant potential that could extend the life of Gruyere well beyond the open pit life, which, as I said, extends to 2032. Drilling for this year is budgeted at $15 million. That's part of a program of 60,000 meters estimated at $24 million that is anticipated to extend into 2026. That drill program will prioritize infilling the top 400 meters of the area shown on the long section, largely the area that's currently in inferred and we'll be aiming to convert that up to the indicated category, which obviously can translate into reserves with all the technical studies and significant growth in the inferred resource tested in the exploration target down to the lower half of that slide. Moving on to the next slide. So we also updated the Gilmore pre-feasibility study with details of the outcome provided on this slide. Following the completion of the study and the inherent value of the high-grade resource, we've reviewed the ongoing exploration program and the potential exploration target depth with the details of the drill program at Gilmore also provided in an early April ASX announcement. With that announcement, we've commenced the 30,000 meter or about $10 million drill program, diamond drilling, which aims to extend the Gilmore resource at depth. We also applied for a mining license at Gilmore with Native Title Negotiations continuing during the quarter. As well as the drill program at Gilmore, drilling has continued at Renegade and Warbler, within the Yamarna area with programs at [indiscernible] and Earls Find planned for later in this year and designed to extend the resources across each of those prospects. In total, we have 2 diamond and 1 RC rig operating across the Yamarna [indiscernible]. So in summary, plant issues at Gruyere, obviously disappointing with gold production well below plan. However, we are now confident that the new management team at Gold Fields has a solid recovery plan and see higher throughput sustained in the future and for the rest of this year. That provides confidence in delivery of this year's targeted plant throughput our guidance parameters and therefore, delivery of gold production within guidance and cost. On the organic growth front, there are multiple sources of encouragement, including, of course, the Gruyere underground study, which has the potential to extend the life of Gruyere well beyond the open pit, the maiden ore reserves at Yamarna and obviously the Gilmore pre-feasibility study that demonstrates the financial benefits of our exploration at Yamana. And of course, the $1 billion position that we hold in De Grey, which is then converting to Northern Star shares now that the scheme has been completed and gone through the court process. And finally, of course, Gold Road maintains a strong and healthy balance sheet, is debt-free and is unhedged. That brings our presentation to a close, and I'll now hand back the call to Mel.
Operator: [Operator Instructions] Thank you. We are showing no phone questions at this time. I'll hand back for any webcast questions. Pardon me, before we do that. Your first phone question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: Obviously, a busy day with quarter. I just wanted to ask, firstly, around the De Grey stake, just any updates in terms of where you're at on the thinking of holding that position versus in-specie distribution and high-level thoughts on what that would mean for the capital gains tax piece?
Duncan Gibbs: Look, I guess the scheme doesn't close until next week. I guess I will point out, of course, that holding gold equities has been pretty high value this year. So actively doing nothing has been a pretty good strategy today. There's no advantage to us in starting to speculate if and when we may do something with that. We don't see how that's advantageous to Gold Road shareholders or for that matter for Northern Star. I will point out that in species distribution, we have looked at that. It's probably the least effective way that we consider in returning value to shareholders.
Hugo Nicolaci: That's clear. And then I guess just turning to the operations, just getting more into the mining piece and just grades and things, you just elaborate a bit more in terms of the profile for the rest of this year and how you expect the mine material movements and grade to perform just given the first quarter?
Duncan Gibbs: Yes. So mining has stepped up quarter-on-quarter, and that's a fairly consistent trend now over the last 9 months or more. We expect some further improvements there. The place has really come in. It's good operating cadence and incremental improvements, and we expect that trend to continue. That will put us into the sort of low 70 million ton movement rates for the year is where we expect that to land, and that's within our guidance parameters. Mill performance quarter 1, obviously disappointing with the issues with the crusher and conveyors. We have learned, as I indicated, quite a bit around the management of coal stockpiles. So we expect to be getting throughput rates up in the high 9 million ton per annum kind of rate through the rest of the year. We have got some additional maintenance and upgrades as we previously flagged in our guidance for quarter 3. But we're tracking with those improvements that we've made. We believe that we are comfortably within the guidance parameters that we put.
Hugo Nicolaci: I'll just squeeze one more in, if I can, just around the underground study and what the milestones from here are in terms of firming that up and what discussions, I guess, need to be had with the JV to prioritize or progress that in the near term, just given a number of other discussions happening in the background?
Duncan Gibbs: Yes. So I mean, look, at the operational level, it's very much business as usual, and we had a very good site trip up there last week, week before. So I mean, the critical path on the underground, quite clearly at the moment is drilling, and we need to get most of the drill program through this year done before we really get into the details of studies. But the JV is starting to formulate really all of the buildup of what would be a pre-feasibility study, and we've got conversations around that planned over the coming weeks. And I envisage at this stage, we probably go into pre-feasibility kind of level studies maybe late this year or certainly by early next year. And we obviously need to be building those up for the annual budgeting and business planning cycle for next year through the course of this year.
Operator: [Operator Instructions] Your next question comes from Paul Hissey with Moelis.
Paul Hissey: I just want to circle back, I guess, a little bit on obviously, the proposed deal or the muted deal with Gold Fields. And I appreciate, Duncan, there will be plenty that you won't want to say or can't say. But just curious, you put out the announcement with the exploration upside and flagging the potential of an underground operation. It feels like that's probably had its chance now to be digested by investors. There's obviously been quite a bit of volatility in the market as well. Is there more you think you can do to help sell the merits of Gold Road or that's kind of it, and you're really at the whims of, I guess, the market now in terms of the macro environment, gold price and these kind of things. I'm just keen to get a sense of where you're at with this deal? And is there more you think you can do? Are you back in discussions with Gold Fields? Keen to get any kind of update you can give us there on, I guess, your approach from here?
Duncan Gibbs: Yes. I mean, I guess when that announcement was made public by Gold Fields, the Board rejected it on value and on the basis of being very opportunistically timed. The market now has a much better sense as to why we saw it as being opportunistic, arrived just after or in the midst of production downgrades, which clearly our joint venture partner knew about that. and before the market started to understand the underground potential. And a number of analysts, of course, including you have started to put some value around the underground, which didn't exist in the market. So I think now shareholders are a lot better informed. We certainly do have some further news flow to put out around the exploration activities that we're planning around Yamarna. In terms of the proposal from Gold Fields, I mean our view is these things are always best dealt with behind closed doors. And it's really for Gold Fields to reengage if they wish to.
Paul Hissey: Yes. And then just lastly, I suppose, the granularity around pulling apart the bid price or their prior offer, which you just expressed you thought to be undervalued. I mean, obviously, the value of De Grey is a little bit more transparent now. I mean, obviously linked to the Northern Star share price. But De Grey itself over the last month or so is up 20% and you guys are notionally up 5%. So I guess how does that change the value dynamic given that one of the moving parts here is potentially known or at least better known? Well, I think despite all the issues, if you really look at our share price performance since early March relative to the rest of the market, we're pretty much trading in line with them.
Operator: There are no further phone questions at this time. I'll now hand back for any webcast questions.
Duncan Gibbs: So I think that looks like it's come to a close. Obviously, a lot of our information was released during the course of the quarter. We've done a fair bit of extensive engagement with investors during the quarter, obviously, partly related to the Gold Fields situation. So happy to wind up the call at that point. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.